Operator: Good day, and welcome to the Salem Media Group, Incorporated Second Quarter 2022 Conference Call. Please note today’s conference is being recorded. [Operator Instructions] Thank you. At this time, I’d like to turn the conference over to Evan Masyr, Chief Financial Officer.
Evan Masyr: Welcome and thank you all for joining us today for Salem Media Group’s second quarter 2022 earnings call. As a reminder, if you get disconnected at any time, you can dial back in or listen from our website at www.salemmedia.com. In the room with me today is David Santrella, Chief Executive Officer; David Evans, Chief Operating Officer, is traveling this week but is on the phone as well. We will begin in just a moment with our prepared remarks. And once we are done, the conference operator will come back on the phone to instruct you on how to submit questions. Please be advised that statements made on this call that relate to future plans, events, financial results, prospects or performance are forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on currently available information. Actual results may differ materially from those anticipated, and reported results should not be considered an indication of future performance. We do not intend and undertake no obligation to update our forward-looking statements, including forecasts of future performance, the potential for growth of existing markets, the opening of new markets or the potential growth from future acquisitions. This conference call also contains non-GAAP financial measures within the meaning of Regulation G, specifically station operating income or SOI, EBITDA, and adjusted EBITDA. In conformity with Regulation G, information required to accompany the disclosure of non-GAAP financial measures is available on the Investor Relations portion of the company’s website at salemmedia.com. With that, I would now like to turn the call over to David Santrella. Dave?
David Santrella: Thanks, Evan, and thanks to all for joining today’s call. Today, we’ll discuss Salem’s second quarter financial results focusing on the continued growth in digital. We’ll provide a brief M&A update, talk about the success of the film 2000 Mules, and conclude with a few comments on Salem’s leverage and future dividend policy. At that point, I’ll turn the call back to Evan who will provide more detail on second quarter financial performance and will give guidance for the third quarter. Let’s start with a discussion of the company’s performance for Q2 2022. Compared to the second quarter of 2021, total revenue increased 7.7%, expense increased 10.7%, and adjusted EBITDA, which includes $3.9 million from the film 2000 Mules, which I’ll discuss in more detail later on the call, increased 33.6%. There are a few items driving increase in expenses, including the reinstatement of the 401(k) match, expenses associated with the launch of Salem’s News Channel, increased travel and entertainment cost and increased professional services costs. Without these increases, overall expenses would be up only 4.2%. Before we get into the detailed performance of each division, I want to take a minute to focus on our digital revenue. The second quarter combined digital revenue, which includes digital revenue within the broadcast division plus revenue from the digital division grew 14.5% from the second quarter of last year. Combined digital revenue represents just over 30% of total revenue as we continue to evolve into a multimedia company. Our expectation is digital revenue will continue to be our fastest growing segment. Now let’s look at each division’s performance in the second quarter of 2022. Revenue in the broadcast division was up 12.1% compared to the second quarter of last year. Digital is the fastest growing component within broadcast revenue. Digital revenue within the broadcast division increased 27.9% to $9.9 million. This growth has been driven by Salem Surround, SalemNOW, and the Salem Podcast Network. Our more traditional broadcast revenue streams also performed well in the quarter. Block programming improved [Audio Dip] over last year. Local block programming was up 20.0% [Audio Dip] I’ve mentioned last three earnings calls, the increase demand from programming from both new ministries and existing ministries. With the high renewal rates in block programming, we expect us to continue having a positive impact on our long-term revenue. Traditional spot advertising revenue increased 9.5% in the quarter. Local advertising revenue increased 6.9%, national 17.4%. While continue to see advertising local spot is still not back to its pre pandemic level, especially with concern inflation [indiscernible]. Network revenue was up 9.3%. This has driven largely by growth political revenue. Before I move on divisions worth reviewing political revenue as a whole. For the quarter, we had $1.5 million of revenue compared to only $400,000 in Q2 of last year. The [Audio Dip] million is more than we had in Q2 2021 which was $6,000 than we had in Q2 2019 was $1.1 million.  Let me switch to Salem national digital division where revenue increased 4.5% in Q2 of 2021. Revenue at our [Audio Dip] 0.1% due to strong advertising demand in both direct and programmatic revenue. Townhall Media, our conservative news and opinion websites had [Audio Dip] increase in revenue from its growth at its VIP subscription service. The church products business had meaningful growth of 18.2% due to acquisitions made last year. Finally, we had a 22.5% decline in revenue at financial publications due to stock market weakness and recession concerns. Our last division, book publishing had an 18.5% decrease in revenue in the second quarter. The principal reason for the decline was a 20.6% decrease in revenue at Regnery publishing due to no significant titles being released during the quarter. We said before that the book really scheduled for 2022 is heavily back loaded. We do have two titles scheduled for release in Q3 that we expect to perform very well, just as corrupted by Ted Cruz and the book 2000 Mules by Dinesh D’Souza. Additionally Salem author services was down 4.6% due to author concerns about the economy inflation and recession. Turning to the discussion of M&A activity. On June 27, Salem closed on the sale of nine acres of land in the Denver area for $8.2 million, both stations operating at that site KRKS-AM and KBJD-AM will continue to broadcast from a portion of the site. We had one small acquisition during the quarter on May 2, Eagle Financial acquired Retirement Media, which owns six retirement websites for $190,000. So now let’s talk about 2000 Mules I mentioned that earlier. In addition to the solid performance we experienced overall from our broadcast and digital assets, we are equally pleased with the results from our first ever Moody investment 2000 Mules. Salem was the executive producer and sole financial investor of $4.5 million into the film company’s Standalone LLC. On the last earnings call, I mentioned that the film had private screenings throughout the country. It was then available for download on and DVD purchase on SalemNOW and Rumble. Based on the success and the media buzz, the film generated certain movie theater chains and independent theaters decided to carry the movie for a few weeks. Not only did we get the $4.5 million investment returned almost immediately after the release, we generated approximately $900,000 of income distribution fees at SalemNOW, advertising revenue platform from the LLC and interest earned on our initial investment. Finally, through June 30, we have earned an additional $3.9 million in income from the unconsolidated joint venture. To say the film has been a success would be an understatement. Based on this success, Salem is looking at other opportunities to invest in select film that we think best fit our audience. And indeed we are already in some of those discussions. We do recognize however that few films will have the same level of financial performance at 2000 Mules. It is worth mentioning that Salem is the exclusive distributor of the upcoming film Uncle Tom II, which is scheduled to be released on August 26. While Salem has not invested in the film, we intend to market the movie to make it as successful as possible, given the economics we get for distributing the film.  One final point on 2000 Mules. If you factor the 3.99 million of profit share we earned into the revenues approximately 41% of our revenue in the quarter came from non-broadcast sources. This further demonstrates how Salem has truly become a multimedia company. Finally, let’s discuss Salem’s leverage and dividend policy. As a result of Salem’s strong operations and asset sales, the company had sufficient cash flow to buy back some additional 2024 notes in the open market. During the quarter, we repurchased $13 million of bonds at a slight discount. The reduction in debt coupled with a 33.6% growth in adjusted EBITDA brought our leverage ratio down to 3.97%. If you factor in the cash on hand, as of June 30, the leverage ratio would be 3.91%, a significant improvement and the lowest it’s been in more than 20 years. As the company has been improving its balance sheet and getting our leverage ratio under control, investors have asked about Salem’s plans to get back to returning capital to shareholders through dividends. Since the start of the pandemic, the Board has not even discussed the subject of dividends, recognizing that leverage has been too high. However, now that leverage is under four times, the Board will likely start to debate the merits. It is therefore worth reviewing Fiction Film [ph] has on paying dividends. Of the two bond issues outstanding, the 2028 notes are more limiting under the terms of that in venture Salem can pay up to $500,000 in quarterly dividends when the leverage is below 4.75. If the leverage is below 4.0, Salem is able to pay up to 0.5 million in quarterly dividends. Obviously, if the Board makes any decisions to resume the payment of dividends, we’ll let investors know. And with that, I’ll turn the call back to Evan for additional details on the quarter’s performance and guidance for Q3.
Evan Masyr: Thank you, Dave. For the second quarter, total revenue increased 7.7% to $68.7 million. Operating expenses on a recurring basis increased 10.7% to $60.9 million and adjusted EBITDA increased 33.6% to $11.7 million, which includes the 3.99 million profit share from 2000 Mules as Dave outlined. I know some of our broadcast peers are still mentioning how they’re getting revenue close to 2019 levels. For us, this is our fourth consecutive quarter where revenue was ahead of the corresponding 2019 quarter. Comparing to the second quarter of 2019, total revenue increased 6.2% and adjusted EBITDA increased 15.1%. [Ph] Compared to last year, net broadcast revenue increased 12.1% to $52.5 million and broadcast operating expenses increased 17.5% to $42.5 million resulting in station operating income of $10 million, a decrease of 6.2%. On a same station basis, net broadcast revenue increased 12.2% to $52.4 million and SOI decreased 5.9% to $10 million. These same station results include broadcast revenue from 97 of our 98 radio stations in the network operations representing 99.9% of our net broadcast revenue. I will briefly review revenue performance of Salem strategic formats. 39 of Salem’s radio stations are programmed in our foundational teaching and talk format. And these stations contributed 36% of total broadcast revenue and increased 8.9% for the quarter. Our 33 news talk stations had an increase of 21.2% in revenue for the quarter. Overall, these stations contributed 18% of broadcast revenue. Revenue from the 12 contemporary Christian music stations contributed 15% of total broadcast revenue and increased 2.0% for the quarter. Broadcast digital revenue increased 20.9% to $9.9 million and represents 19% of our total broadcast revenue. Network revenue increased [indiscernible] million for the quarter and represents 10% of total broadcast revenue. Revenue from the National Digital Media division increased 4.5% to $10.8 million and represents 16% of our total revenue. Publishing revenue decreased 18.5% to $5.4 million and represents 8% total revenue. As of June 30, total debt was $109.4 million made up of $114.7 million of 7% and 8% 2028 notes and $44.7 million of 6.75% 2024 Notes. Salem had virtually nothing drawn on its $30 million ABL revolver. The leverage ratio, as Dave mentioned, was 3.97 as defined by Salem’s credit agreements. Looking forward for the third quarter of 2022, Salem was projecting total revenue to increase between 6% and 8% from the third quarter 2021. Total revenue was $66.0 million. Salem is also projecting operating expenses before gains or losses on the sale of disposal of assets, stock-based compensation expense, changes in the estimated fair value of contingent earnout consideration, impairments, depreciation expense and amortization expense to increase between 11% and 14% compared to the third quarter of 2021 non-GAAP operating expenses of $55.2 million. This concludes our prepared remarks. And now we would like to answer any questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Michael Kupinski with NOBLE Capital Markets.
Michael Kupinski: Thank you, and good afternoon, everyone. So first of all, congratulations on your quarter, just spectacular. So the question is that I have a couple. The Q3 revenue up 6% to 8% is far better than many of what I would call the meters out there about the third quarter. And I was wondering if you can just give us color on some of those components of that growth that you’re expecting in Q3. Number one, if you could talk a little bit about the network business on the broadcast side, maybe also talk a little bit about national local spot. It seems like your national business has performed far better than anyone else, particularly in the second quarter and was just wondering how that is continuing as you go into the third quarter and let’s stop up there and then address some of the other questions.
David Santrella: So, Michael and Evan, I might kind of tack him on this a little bit. But I think some of the new drivers you’re seeing in Q3 certainly political will heat up even more in Q3. Certainly is something as we’ve mentioned, we’ve got two. What we believe are very strong books in Q3 and that will drive revenue. And then really digital, [Audio Dip] component continues to be ever plus of course, Uncle Tom II, coming out. We think that’s August 26, that will like 2000 Mules, the big bulk of revenue when you release a movie is right away getting it within the first four to six weeks. And then it’ll – you’ll continue to that revenue, but 90% of it is real fast. And so that will add to the quarter as well. And then [Audio Dip] that’s what we think of the revenue drivers. Now can you go to the next year a lot there, and I forget the rest of it.
Michael Kupinski: Well, I’m just wondering a little bit, just the network and the national business in general, outside of political, can you kind of give us a ton to place on what you’re hearing? And also, maybe if you can update us on your thoughts about political for the year. I mean, obviously you’re pacing well of your prior cycle. Just wondering maybe if you can update us what thoughts are for the year?
David Santrella: Yes. So our network business is doing well. And I think it’s driven really as we look to do more. What we would call 360-degree deals. We’ve got as example, you’ve got a host, who’s doing a network program. They’re also doing a podcast. They may be – they might be on the Salem News Channel as well. And so we’re trying to incorporate kind of more into more media vehicles within Salem’s ecosystem into what they’re doing. And we’re seeing positive response from their advertising base from that. And I think that’s helping overall. In terms of political, it’s just such a – the political environment has never been as interesting and as heated and intense as it is right now. And so I think, investors like us and others are radio programs that very politically – have a lot of political content in them, just have a particular interest right now, interest to the candidates and their campaign managers.
Michael Kupinski: Got you. And then in terms of your expense growth for the third quarter, seems a little strong, and I was just wondering, is there any particular things going on in terms of the expenses for that quarter, things that are pushed forward into the quarter, any extraordinary items that you’re facing or kind of give us what the [indiscernible] about?
David Santrella: I think first of all, we hope that the guidance is a little conservative and that the company performs better than that guidance. Now, that being said, some of the issues that led to the elevated Q2 expenses will affect us again in the third quarter, things like the reinstitution of the 401(k) match, the continued investment in Salem News Channel increased travel and entertainment expenses also expecting to increase marketing spend in the third quarter. So those are a couple of the real big drivers that will drive expenses in Q3.
Michael Kupinski: And how much of the – of those are just really what you would call somewhat one time because your increased marketing spend, I suppose, is really related to the distribution of your – of the film, right? And is that, I guess, going into fourth quarter or when the release is in third quarter, right? So would you expect that the fourth quarter expenses will moderate a little bit? I’m just trying to get a flavor of what would be continuing into the fourth quarter? What could we expect?
David Santrella: Yes. The items that continues in the fourth quarter, the 401(k) match we started again in the first of this year. So that’ll hit all four quarters. Travel and entertainment will likely hit most of the year as well. The other thing that’s a big item is we’re continuing to invest in talent in the Salem News Channel. We recently hired someone to run that division and I think they continued investment there with at least to start very little revenue, but we think there’s a great opportunity there and it’s worth the investment. So I think you’ll see some of that persist through the remainder of the year.
Michael Kupinski: Okay. I’ll let others ask questions. Thank you so much.
David Santrella: Thanks, Michael.
Operator: Your next question comes from the line of Edward Riley with EF Hutton.
Edward Riley: Good afternoon, guys. Thanks for taking my question. Noticed that the Digital Media segment saw some margin sequentially and from Q2 2021, just wondering what platform is really driving that right now?
David Santrella: You see the increased margins as we’re doing a better job, quite frankly, of selling our owned and operated digital assets. So when you sell third party market, whether it’s a pay per click campaign or something like that, right. You have a cost of good sold because you got to pay Google or Bing or whomever. But when you sell for instance, campaign or an e-mail campaign that’s within your own database or your own – your owned and operated digital assets, you keep a lot more of that money. So that helps our margins. We’ve taken more of the fulfillment of our digital marketing in house. So that helps our margins as well. And then what’s really driving that growth right now is sales around, which are the digital advertising agencies that have associated with all of our radio station clusters. Those sales are selling that digital marketing. Plus we have digital only sellers and many of those markets that’s driving and of course Salem Podcast Network and SalemNOW which are also revenue that’s helping drive that.
Edward Riley: Got you. It sounds like it’s pretty sustainable. Would it be fair to maybe project into the future?
David Santrella: You’re saying project the current margins?
Edward Riley: Correct.
David Santrella: Yes, I think that’s reasonable.
Edward Riley: Okay, great. And some more color on what’s driving the 17% increase in national?
David Santrella: Well, political – so political in there. Yes, so political is a huge part of that.
Edward Riley: Do you guys have any impact in ex-political?
Evan Masyr: Let me give you the political numbers overall, obviously includes network and other. Dave mentioned some of them for the quarter. For the quarter, political was $1.5 million compared to last year of almost $400,000. But also interesting about political And then Michael potentially ask the question as well. If you look year-to-date, political is basically $2.3 million, last year was under $1 million. And 2020, our biggest political year ever was $1.2 million. So we’re actually pacing quite ahead of that. So don’t have any national spot numbers ex political in front of me, but certainly that’s been [Audio Dip].
Edward Riley: Got you. And then on the Publishing side, you mentioned revenues sort of being producing in the back half of the year and mentioned that there’s going to be some third quarter releases. Any titles expected to be released in the fourth quarter that you’re excited about?
Evan Masyr: David, I don’t know if you respond to that. I know you’re on the line because you may have.
David Santrella: Yes. The biggest cycle in Q4 is probably going to be Dennis Prager with the next in his series of viable commentaries. That’s the most [Audio Dip] but not as big as Q3 where we have both Dinesh D’Souza and Ted Cruz.
Edward Riley: Okay. Got you. And then, I’m curious about the total benefit that you guys have received from 2000 Mules thus far?
David Santrella: Well, if you take a look at the fact that we had about $900,000 came in between the advertising they did with us with the interest income that we got and the $3.9 million. So you’re talking basically $4.8 million in addition to the return of our $4.5 million. So as Dave said to say the success – the safe success would be understatement I think that certainly understored when we invested $4.5 million, we got that back from an additional $4.8 million.
Edward Riley: Okay, great. That’s it for me guys. Congrats.
David Santrella: Thank you. At this time, there are no further questions. I will now turn the call over to David Santrella, Chief Executive Officer for any closing remarks.
David Santrella: Well, I have no closing remarks. Thanks everybody for being part of the call. Great questions, and we’ll look forward to talking to you next quarter.
Operator: Thank you for participating. You may disconnect at this time.